Operator: Greetings and welcome to the PENN Entertainment Fourth Quarter 2025 Earnings Call. I would now like to turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead.
Joseph Jaffoni: Thank you, Nicky. Good morning, everyone, and thank you for joining PENN Entertainment's 2025 Fourth Quarter Conference Call. We'll get to management's comments and presentation momentarily as well as your Q&A. During the Q&A session, we ask that everyone please limit themselves to 1 question and 1 follow-up. Now I'll review the safe harbor disclosure. Please note that today's discussion contains forward-looking statements. Forward-looking statements involve risks, assumptions and uncertainties that could cause actual results to differ materially. For more information, please see our press release for details on specific risk factors. . It's now my pleasure to turn the call over to the company's CEO, Jay Snowden. Jay, please go ahead.
Jay Snowden: Thanks, Joe. Good morning, everyone. I'm joined here in Wyomissing by Felicia Hendrix and Aaron Laberge as well as other members of our senior executive team. I'm pleased to report PENN's diversified retail portfolio delivered another solid quarter during which retail adjusted EBITDA grew year-over-year after adjusting for poor weather in December. In our Interactive segment, we successfully rebranded our U.S. online sportsbook to the Score Bet on December 1 and achieved positive adjusted EBITDA in December, driven by continued momentum from our iCasino products disciplined cost management and strong online sports betting hold rates. 2026 is an exciting year for us in which we expect to generate year-over-year segment adjusted EBITDAR growth of 20%. And we are well positioned to benefit from the strategic investments we have made over the last several years and are laser-focused on improving free cash flow generation, deleveraging and opportunistically returning capital to shareholders. I want to highlight the foundation that set us up nicely to deliver on our goals for this year and beyond, which are summarized on Slide 6 of our investor presentation. First, our diverse retail business is healthy and growing, generating sustainable free cash flow. In addition to anniversarying much of the new supply in several of our key markets, we will have 2 more retail growth projects opening by the end of the second quarter this year. and we're seeing continued momentum at 2 that we opened last year. Second, we expect our Interactive segment to inflect to breakeven adjusted EBITDA for the full year, which would represent a $268 million year-over-year improvement. Third, we have rightsized our maintenance capital spend on a go-forward basis, which we'll touch upon more later. And fourth, we will begin to realize synergies from our corporate restructuring and cost optimization initiatives. The new organizational structure we announced in early January will allow us to become a leaner and flatter organization, enabling business leaders to be more empowered and drive greater productivity. All in all, we expect to save over $10 million in annualized run rate expenses for the company as we streamline the organization, which will mostly phase in over the first half of the year. The operational benefits are already in flight. In terms of rightsizing our property maintenance CapEx, we have done an excellent job over the last 6 years of upgrading our casinos, refreshing our slot floors and investing in non-gaming amenities like updated hotel rooms, new tel sports books, new restaurants and entertainment venues. In addition, our dockside to land-based growth projects are expected to meaningfully reduce our maintenance CapEx cost going forward. With the improvements we have made to our properties, we feel comfortable with bringing our recurring maintenance CapEx levels down by $20 million and returning to near pre-COVID level spending. Slide 7 really drives some of the significant free cash flow we expect to generate in 2026 and beyond. Importantly, this growth in free cash flow will enable us to delever meaningfully in 2026 and opportunistically return capital to shareholders. In fact, we expect to generate more than $3 per share of free cash flow in 2026 and reduce our lease-adjusted net leverage by more than 1 turn. Returning now to our results for the quarter. On the retail side, we experienced another quarter of year-over-year growth in theoretical revenue across all rated worth and age segments with our older demographics and VIP play contributing meaningfully to these results. The bad weather in December negatively impacted segment adjusted EBITDA by approximately $7 million. In addition, our segment was negatively impacted by new supply, Bossier City and New Orleans, in those markets in Louisiana and our Midwest segment was impacted by new supply in Council Bluffs, Iowa. Core business trends were otherwise stable across the portfolio with regional strength in Ohio and St. Louis as well as our LaBerge, Lake Charles property. We're seeing continued momentum at our new hotel tower at M Resort in Las Vegas, which is capturing previously unmet demand including booking 2 of the largest groups in the property's history recently. In December, the property achieved record gaming volumes. And in January, we generated record net revenue at M. Meanwhile, the new Hollywood Casino Joliet is delivering strong results both from new and reactivated customers with a nearly 13% year-over-year increase in the number of active players helping to drive meaningful increases in both gaming and nongaming revenues. The early performance of these projects provides us continued confidence in the anticipated success from the upcoming ownings of the Hollywood Columbus Hotel Tower and the new Hollywood Casino Aurora, in addition to our new council properties scheduled to open in late 2027 or early 2028. As we said previously, we anticipate all of these development projects to generate approximately 15% plus cash-on-cash returns. On the interactive side, we experienced rec gaming revenue in the fourth quarter driven by the continued growth of our stand-alone Hollywood Eye Casino products and increased cross-sell as well as improvements in our online sportsbook product offering and operations. Revenue growth, excluding tax gross-up of 52% year-over-year was primarily attributable to iCasino growth of 40% plus and online sports book growth of 73%. including strong revenue and positive adjusted EBITDA in December, our first month operating as theScore bet in the U.S. Additionally, adjusted EBITDA improved $70 million year-over-year in the fourth quarter, driven by strong adjusted flow-through of 95%. We are encouraged by the upward trajectory of the interactive business. Our sports book is maturing through a more disciplined regionally focused marketing strategy that prioritizes iCasino jurisdictions. Our reduced fixed media spend provides us much more marketing flexibility to strategically invest more in Canada as well as the U.S. hybrid states with both iCasino and online sports betting and in customer cohorts with more compelling returns, particularly as we look ahead to new market openings like Alberta, which is anticipated later this year in 2026. Importantly, we've retained users through the Score Bet rebrand and continue to engage them across our ecosystem. Retention and new user growth will remain our top interactive priorities and the foundation for our long-term growth in that segment. The positive trends in our Interactive segment give us confidence to recommit to achieving breakeven adjusted EBITDA in 2026. And with that, I'll turn it over to Felicia.
Felicia Kantor Hendrix: Thanks, Jay. Our Retail segment generated revenues of $1.4 billion adjusted EBITDAR of $456.4 million and segment adjusted EBITDA margins of 32.3%. Inclement weather in December negatively affected retail adjusted EBITDAR in the quarter by $7 million, with the largest impact in the Northeast segment. We expect the combination of our high-quality portfolio plus our new growth projects to generate year-over-year retail net revenue and adjusted EBITDA growth in 2026, For retail net revenues, we forecast a range of $5.7 billion to $5.85 billion and retail adjusted EBITDA will range from $1.86 billion to $1.98 billion. . As you think about your quarterly modeling, the severe weather in the first quarter thus far has negatively impacted retail adjusted EBITDA by approximately $5 million to $10 million. For the second quarter of 2026, at our new property in Aurora, we expect to have approximately 2 weeks of downtime as we look to open the new land-based facility. And as you know, our second half results will benefit from the opening of all 4 of our retail growth projects. All of these items are reflected in our guidance. Our Interactive segment in the fourth quarter generated revenues of $398.7 million, including a tax gross-up of $182.7 million and adjusted EBITDA loss of $39.9 million. For 2026, we expect Interactive revenues of approximately $1.6 billion inclusive of an estimated tax gross-up of about $760 million or a revenue improvement of roughly 20% year-over-year, excluding the tax gross-up. This growth will be a function of the playbook we initiated in December as we transition to the Score Bet sports book in the U.S. and shifted our focus and resources to our U.S. iCasino states in Canada with a focus on iCasino and cross-sell. Complementing our revenue growth is a more rationalized cost structure. Our marketing expenses will decline significantly year-over-year as we made our last payment to ESPN in December 2025. We anticipate our marketing spend to come in approximately $150 million lower than in 2025 as we align spending with our revised regional strategy focused on iCasino and Canada. With performance and brand spend fully in our control, we will adjust allocations based on results. Further, we have rightsized our interactive operations to fit our new structure with payroll and G&A declining proportionately. As a result of our revenue growth expectations and more rationalized cost structure, we continue to expect our Interactive segment to generate breakeven adjusted EBITDA in 2026 and note that we will expect all components, U.S. OSB, iCasino and our Canadian operations to generate positive contribution margin in 2026. This forecast does not contemplate any new jurisdictions launching in 2026, including Alberta. As we look to full year 2026, we expect U.S. OSB MAUs to decline year-over-year given the transition from ESPN BET to the Score Bet while U.S. eye Casino as well as Canadian OSB and iCasino MAUs should increase year-over-year, reflecting our strategy to realign our digital focus. We expect the OSB and iCasino hole rates to remain around 9% and 3.7%, respectively. As for quarterly EBITDA cadence, the first 3 quarters of 2026 should generate small adjusted EBITDA losses, and we expect the fourth quarter to be profitable. We expect the other category adjusted EBITDA to be a loss of $119 million for 2026. The table on Page 9 of our earnings release summarizes our cash expenditures in the quarter, including cash payments to our REIT landlords, cash taxes, cash interest on traditional debt and total CapEx. Of our total $190 million of CapEx in the quarter, $85 million was project CapEx, primarily related to our 4 development projects. We ended the fourth quarter with total liquidity of $1.1 billion, inclusive of $687 million in cash and cash equivalents. On November 3, 2025, PENN received $115 million in funding from GLPI at a 7.79% cap rate in connection with the second hotel tower construction at the M Resort Las Vegas. In conjunction with the opening of the $360 million Hollywood Aurora in late 2Q we expect to receive $225 million in funding from GLPI near project opening and the remaining $21 million from the City of Aurora by the end of the year. We have elected not to take GLPI capital in connection with the construction of our Columbus hotel tower. The combination of this funding with a strong free cash flow and more optimized CapEx spend Jay discussed earlier, will enable us to delever nicely throughout the year. Total 2026 CapEx will be $445 million, which includes $225 million of project CapEx, down from $408 million in 2025 and  $220 million of maintenance CapEx compared to $239 million in 2025. We expect total cash payments under our triple net leases to be $1 billion in 2026. For 2026 cash interest expense, we project $145 million. For cash taxes, we do not expect to be a cash taxpayer in 2026 given the favorable tax deductions enabled by the One Big Beautiful Bill in addition to our acquired NOLs and various tax credits. Our basic share count at the end of the fourth quarter was 133.2 million shares. After the June 20 repurchases of the convertible notes, we now have 4.5 million potential dilutive shares from the remaining convertible notes stub and about 1 million dilutive shares from RSUs and stock options. I will now turn it back to Jay.
Jay Snowden: All right. Thanks, Felicia. In closing, I want to say that I'm proud of what our property interactive and corporate teams were able to accomplish in 2025, including the resilience shown on the retail side and the successful rebranding of our OSB product to the Score Bet. I couldn't be more excited about the many catalysts we have ahead of us in 2026, including the opening of our new Aurora property and the Columbia Hotel. The continued ramp of Joliet and the M Resort Hotel tower and achieving breakeven in Interactive. I'm also excited to welcome our 3 new board members, Heather, Jeff and Fabio, who bring a lot of relevant experience and fresh perspectives to our board. We look forward to this being a year of strong execution at PENN with an emphasis above all on free cash flow generation and deleveraging and transforming our strategic investments into consistent long-term returns and value creation for our shareholders. . And with that, can we please open the line for the first question.
Operator: [Operator Instructions] We'll take our first question from Brandt Montour with Barclays.
Brandt Montour: Thanks for all the details this morning. Maybe starting off on digital and drilling into that top line '26 target of 20% revenue growth ex gross up. Jay, maybe you could put a finer point on that or just flesh it out a little bit. We know that you're growing iGaming in excess of that. there's more moving pieces on the OSB side with handle down because of, obviously, the exit of and then, of course, hold was probably a benefit or was a benefit here in the recent months. And so we kind of really don't know what the run rate top line OSB is at right now. So just what's growing faster within that 20% iGaming. But if you could just flesh out what's going to get you to that 20% and how conservative it is?
Jay Snowden: Yes. Happy to, Aaron, feel free to jump in as well. certainly being driven primarily by growth in iGaming. We've seen really strong growth rates throughout 2025, and I'm happy with what we're seeing so far at the start of 2026, our products continues to get better on the stand-alone Hollywood app. We're seeing really, really strong retention. We were before the rebrands and obviously, we weren't affected as much on the iGaming side from the sports betting rebrand of ESPN BET to the Score Bet, so primarily driven by iGaming growth. We also expect to see NGR growth on the sports betting side despite lower handle. As you can imagine, we've taken a really, I would say, refreshed look at our entire database on the interactive side. If you look at from a retention perspective across the worst cohorts and the interactive database the top -- we sort of break it down into 8 different categories and the top 4 are virtually unchanged from a retention perspective. both before the rebrand and after the rebrand on a month-over-month basis. So feeling really good about retention at the mid-worth and high-worth segments. And where you're seeing falloff on the retention side is where we're doing that by design is at the lowest worth segments. Most of those are unprofitable customers. And so pulling back on reinvestment at the low worth is going to help on flow through overall. It's going to lower our promotional reinvestment overall and focusing on our higher worth VIP and mid-worth customers just generates much more efficient business. So you'll see NGR growth despite some handle declines in 2026.
Aaron LaBerge: Yes, not much to add. I mean eye Casino is currently growing faster than 20% right now, which we're happy about. Obviously, OSB is going to continue to go down. But as Jay mentioned, we're going to moderate that with lower promotional expenses to improve flow through. So we feel pretty good right now with what we're looking at for the year.
Brandt Montour: Okay. That's super helpful, guys. And then over in the retail, the promotional environment was a headwind in '25. To some extent, there was obviously supply pressure. Can you just talk about those 2 items? Obviously, they're related into '26 and what you're expecting for the year?
Jay Snowden: Yes. We're happy to share that we're seeing less impact. I think there was some sort of initial shock to some changes in reinvestment and some customer shifts and movements in a couple of markets. It's really primarily where we felt it the most is in a couple of markets in Louisiana, really 3 markets, Baton Rouge, New Orleans and, of course, Bossier City, which we talked about. And then in Council Bluffs, Iowa, the combination of new competition, new supply in Omaha, Nebraska and then another competitor in Council Bluffs, where we saw some higher reinvestment levels. We're seeing that all starts to sort of fade and we do lap finally. We lapped the opening of the new supply in Bossier City here this month in February. We're feeling good about trends at our properties in Bossier City now that we've lapped that opening. . There'll probably be some residual impact maybe the next month or 2. But we should be in the clear, I would say, in mid Q2 in terms of Bossier City. And I would say Councils Bluffs, there was a pretty major expansion of a new competitor in Omaha, I believe it was April of last year. So by the time you get to mid to late Q2, you've anniversaried the new supply shocks and competitive reactions. So I think the second half of the year should be feeling pretty good in terms of that acting then as a tailwind when you look at it on a year-over-year basis.
Operator: We will move next to Barry Jonas with Truist Securities.
Barry Jonas: Yes, Jay, why don't I take that second question you gave there maybe expanded as we think about the guidance range. Maybe what are you assuming between the range for new supply impact, something like more first half versus second, but also any assumptions embedded there for new project growth, anything for One Big Beautiful Bill. Just want to get a sense like what the -- what the difference is between the high and the low end of the guidance range.
Jay Snowden: Yes. We anticipated and contemplated all of the factors that you just highlighted, Barry. I do think that as I look at what consensus looks like by quarter, we probably feel stronger about the second half of the year than the first half. There's some weather impacts here in the first quarter that Felicia highlighted between $5 million and $10 million impact. We built that into our full year guide. So that's no change to the full year guide. But in terms of the cadence from Q1 to Q2, Q3 and Q4, there's a little bit of noise in Q2, and that we'll be opening our Aurora property. And you'll recall that when we opened Joliet, we had to shut the property down for 2 weeks. And so there's obviously a cost headwind to not generating revenue, but still having the costs flow through the P&L as we get ready to open Aurora. . The second half of the year, we really feel like we're in the clear. We're going to have all 4 of our growth projects that we've been talking about for the last couple of years. We'll be open, 2 of them fully ramping, the ones that we opened in 2025. And  feeling pretty good about launching the other 2. They're likely to open at the very end of Q2. The current construction schedule has us opening the Columbus hotel as well as the Aurora property, really at the tail end of Q2, call it, end of June. We'll firm that up in the next probably 1 month or 1.5 months publicly, but that's the way I would model it. And as you think about same-store versus new when you look at the EBITDA projection or guide for 2026, we look at our same store, including the markets with new supply as being basically flat year-over-year from an EBITDA perspective. And then the upside you see on a year-over-year basis, the 3% growth overall is being driven by the 4 growth projects.
Barry Jonas: Got it. And then I wanted to follow up on interactive, really nice to see the breakeven guidance this year. But at least conceptually, how should we be thinking about the maybe profitability scenarios for the segment in the years ahead. Clearly, new iGaming legalization will be a major factor, but it does seem like the royalties are a major positive today that could tail off at some point.
Jay Snowden: Yes. We are the only market we're aware of that is going to launch new this year is Alberta. That will happen. We leave some time around midyear that hasn't been firmed up yet, but that's what we're anticipating. That should be a good market for us. Obviously, our strongest market, I've highlighted before, has been Ontario from a market share and a contribution margin perspective. So we expect Alberta to be a good market, reasonable tax rate similar to Ontario, both online sports betting and online casino. There will be some investment that goes into that mark similar to when we launched Ontario, but we would expect to have similar market share results in that market as well. The Score brand really does carry across the country. It's not just specific to the province of Ontario. So feeling pretty good about that. And I think to answer your question of how does breakeven in '26, what does it look like? How does that bridge to '27, '28. We just need, I think, another couple of quarters to see what is the revenue trajectory, both on the iGaming side as well as in OSB? How does the launch go in Alberta? So look, we're in control of all of the levers. That's a great feeling as we here head into 2026 here. And we feel really comfortable with being able to achieve breakeven. There's different paths to getting there, which would impact what your '27 and '28 outlook is. So we just need a little bit more time under our belt. We're feeling good about the first couple of months post rebrand. We provided you some KPIs in the slide presentation for what December and January look like on a combined basis. And feeling pretty good about that. It's actually quite rare that when you go through a rebrand and you're making assumptions, obviously, you're building out what your assumptions are and then make adjustments on the fly. We've been really close to what we assumed we would be from a retention as well as a new user perspective. There's been little tweaks here and there that we've made. But overall, feeling pretty good about what we anticipated and what we're seeing in the business.
Operator: We will move next to Jordan Bender with Citizens.
Jordan Bender: I want to start on the casino side. So the bulk of the project CapEx is coming to an end in the coming months outside of Council Bluff. Jay, you might not be able to say anything on it today, but how do you view the development pipeline in the casino business over the next coming years?
Jay Snowden: Yes. I'll answer it, I guess, sort of internally looking if that's where you're headed directionally, I'm happy to answer thoughts on externally. But within PENN, we do have a few more projects that we're analyzing right now. I've mentioned before on our other calls that we've got some other aging river boats in markets like Louisiana, Mississippi and 1 more actually in Illinois, that actually -- as we do the analysis, the return profile looks quite similar to what we're seeing in Joliet real time and in M-Resort. Now that 1 is hotel expansion, but we'll we anticipate with Aurora, the water to land conversion. So I would say stay tuned on that. We've been analyzing these for some time, and I think you should expect to hear more about that here in 2026. But you're right in terms of project CapEx, it's was really at its peak in 2025 at over $400 million, and Felicia highlighted the first half of this year as we sort of finished up at Columbus and Aurora, another $225-ish million. So that there'll be some Council Bluff spend as we get to the end of 2026 and head into '27. We anticipate that property opening up sometime towards the end of '27, it might leak into early '28. Anything else that we have planned as long as it pencils and we've got the support locally, which are all the things that we're working on right now and you should anticipate hearing more about that in the coming quarters.
Jordan Bender: Great. And then on the follow-up for the interactive guide, a lot of positive comments around kind of what's going on following the rebranding but the guidance I believe you guys did go from breakeven to positive to just breakeven. Can you kind of just flesh out what you're seeing in real time that's caused that shift?
Jay Snowden: Yes. Look, you have to take a midpoint when you're putting out a guide. And so I think that just feels comfortable right now. Again, we were positive EBITDA in December. I feel good about the business result in January. We're still in the middle of February. Super Bowl overall actually worked out in our favor. We did well, not so much on the Moneyline wagers, but player props definitely worked in our favor and same game parlay most of the star players did not score touchdowns in that game. So overall, Super Bowl was good. The other sports in February have been okay. So hold has been, I would say, pretty close to where we anticipated through the first 2 months of the year on a combined basis. So just -- we've built our budget from the bottom up, and it told us that we felt comfortable putting breakeven out there, and we're delivering against that now. obviously continue to update all of you on our quarterly calls as to how the year is progressing. But in terms of being 2.5 months, close to 3 months post rebrand we're right where we wanted to be.
Operator: We will move next to Dan Politzer with JPMorgan.
Daniel Politzer: I wanted to follow up just on regionals. I know you called out the first quarter, you've seen a little bit of weather impact, but perhaps the other side of that, have you started to see any of the stimulus benefits, the tax refunds start to flow through. And historically, what is the relationship between those tax refunds and maybe the uplift that you would see in your properties?
Jay Snowden: Yes, it's a good question, Dan. It's really hard for us to know when we see really good volumes on a weekend, how much of that is -- there's been a break in the weather. How much of that is that there's tax refunds are starting to flow, and they're higher than people anticipated. So I think the answer is that we're seeing some of all of that. I would tell you that as bad as the weather was in January, and that really hit us across every 1 of our segments, regional segments other than West but even hit us in the south, You'll recall the storm was really across the country. And then in February, Midwest weather has actually been fine. It's the Northeast where we've gotten beat up. We had to shut down a couple of our properties early this week. So there's definitely noise there, but I would tell you that when the weather breaks, whether it's a weekday or certainly on the weekends, we're seeing really strong volumes. We're seeing really strong spend per customer when they visit. And I think that's probably going to continue now that the tax dollars are starting to flow through into people's accounts. we would anticipate finishing up February strong. The weather looks good in the 10-day forecast really across the country. And March is set up to be a good month. The calendar doesn't work in our favor as well in Q1. Something else to keep in mind, we had an extra weekend day this year in January, which is the weakest month of the 3. Last year, you had an extra weekend day in March, which is the strongest month of the 3. So something to keep in mind, again, just in terms of your quarterly modeling, Q1, maybe not as strong as maybe you would anticipate relatively speaking, but it's going to get stronger throughout the year, especially for PENN as we have the second half of the year, the 4 growth objects all open and starting to hit a run rate that we're comfortable with.
Daniel Politzer: Got it. That makes sense. And then just pivoting to capital allocation. I think in your slide, you refer to those capital return optionality. One, it is a 2-part. Is there a number for the full year for the repurchases that you ended up doing? I'm not sure if there was any incremental versus when we got the update on the last call? And then how are you thinking about that capital return as you referenced the optionality with returning to shareholders versus reducing debt versus some of those growth investments that might be on the horizon?
Felicia Kantor Hendrix: Yes. Thanks, Dan. Yes. So in 2025, as you know, we set out to purchase 350 million shares. And as we discussed in our last quarter, we ended up buying back [ 354 million ] for 2025. And just putting that into context, that's about 14% of our shares outstanding in '25. And then since 2022, we repurchased $1.1 billion of stock or 25% of our shares outstanding. So we've demonstrated repurchases are an important part of our capital allocation strategy and continue to be so, but also delevering and investing in our development pipeline, where we expect to generate 15% cash-on-cash returns are also important parts of our capital allocation strategy. So we talked about earlier that we expect to generate $3 per share of free cash flow this year. . And then you couple that with the $225 million in funding we should receive from GLPI for Aurora before the end of the second quarter. And then the remaining $21 million that we'll receive from the city of Aurora before the end of the year, all that's going to enhance our liquidity and reduce our leverage. So really then, at the end of the day, it's about our balance, right? And we'll remain focused on all 3 of those components, buyback delevering and investing in our growth throughout the year.
Operator: We will move next with Joe Stauff with Susquehanna.
Joseph Stauff: I wanted to ask maybe a couple of questions to dig in a little further on the early returns, obviously, Julia and M Resort. And just kind of lessons and how we think about the ramp from here, we can all see the Joliet kind of win per unit per day somewhat flattening out. I don't know if that's the weather or maybe there are some marketing campaigns that you are thinking about. But -- and also in M Resort, obviously, you have a lot more capacity. You talked about record gaming volumes in December in January. So I was wondering, is that a function of higher capacity, higher visitation. What are you seeing there in terms of maybe derisking, say, the 15% cash on cash return going forward?
Jay Snowden: Yes. No, good questions, Joe. Let me take a step back for a second, just in terms of the hotel expansion projects versus the water to land conversions. The hotel project expansions, you see really a more immediate pack positively to incremental revenues and incremental EBITDA. And the reason for that, I think, is relatively intuitive, which is that you're adding a hotel. There's not a whole lot of labor add. You've obviously got housekeeping front desk, valet. But the Columbus property and the M Resort property were built for more hotel rooms, right? In the case of Columbus built for a hotel in terms of restaurant capacity, entertainment venue capacity, gaming floor. We don't have to we didn't have to invest in expanding any of those areas as part of those projects. So we knew that we had a lot of demand -- unmet demand that we couldn't handle at the M Resort and we were sort of cultivating these relationships with many of these groups and conventions that would come through. And then they would just outgrow us because we only had 390 rooms. We've essentially almost doubled the capacity pretty close to 750 total rooms at M now. And so we've got groups both coming back and new large groups coming in for the first time. we can deliver a level of service and personalization that they just won't find on the strip because those hotels are so large and those groups sort of can get lost. So feeling really good. I mean if you look at the resort results, which we do every day and you look at occupancy and you look at ADR, you almost don't even realize we added -- we doubled the number of rooms because the occupancy has been almost as strong as it was prior year with half the room, the same thing on an ADR basis. So we're feeling really good about M Resort, the return profile gets us even more excited about Columbus. Columbus, believe it or not, this is kind of an odd step, but it's our #1 property in the portfolio from a cross-property visitation standpoint, and that's with no hotel today. So we obviously are feeling really good about being able to generate much stronger VIP cross-sale from other markets, both in Ohio and outside of Ohio that it is a destination for us. especially during the Ohio State football season. So that's kind of the hotel expansion wrap up. I would say. As it relates to Joliet, we're feeling really good because remember, and you've been there, Joe, you were there for the grand opening. That property was really the first location or amenity or offering to open up in what is a very large mixed-use development called Rock run. There's actually a 250-plus residential development that's opening up right next to our later this year. There's a 285-room flagged hotel that's opening up within walking distance of our property sometime in 2027. There's a number of restaurants and entertainment venues. I mean this is -- it's a real mixed-use development. For those of you that have been St. Charles, Missouri close to the Ameristar property there. It's the same developer. And we expect to have a similar critical mass when all is said and done over the next couple of years. So Joliet as good as the start has been. And the way I sort of summarize the demand figures that Joliet, we've seen our active database, which we covered on the call earlier, 130% growth from pre to post. We see daily visitation has doubled. Our table volumes have doubled. Our nongaming revenue doubled and our slot revenue is between 40% and 50% growth. And so I think there's an opportunity to still grow that slot business higher than that base of 40% to 50%. And anything above that just makes the return profile that much stronger. And the difference, again, between the hotel expansions versus these water to land casino conversions is that when we first opened, like we did at Joliet, the first few months, you've got a lot of slot leased product on your floor figuring out what your customers are gravitating toward from a slot content perspective. You have all of your restaurants open every day, all of your bars and a lot of entertainment programming, you're figuring out what works. And so your margins are going to be lower those first call it, a couple of quarters post opening. And then you start to fine tune. And I think we're the best of business at doing that. And so you should expect the margins for Joliet over the next couple of quarters continue to improve. And by the time you hit the 1-year anniversary, you're really cranking from a top line and a bottom line perspective. I would expect the same sort of cadence from quarter 1 to quarter 4 post opening for Aurora as well, whereas Columbus, you're going to see a more immediate impact both on the top line and bottom line as well as in your margins.
Joseph Stauff: And just a follow up. Is the Aurora property, the newer property, obviously, is that also opening up? I hadn't been there. in a mixed-use development as well similar to Joliet?
Jay Snowden: It is not, but we stand to benefit that we literally sit next to immediately adjacent to the Chicago premium outlets. And when you're entering and exiting that mall, which is -- I don't have the stats in front of me, it's millions and millions of vehicles and people per month. And when you're exiting the Chicago Outlet Mall, you're at a stoplight, you turn left to go on the interstate or you go straight and you roll right into our parking drug. So I would say it's actually a little bit better in the sense that just from a timing perspective, it's already developed and already has critical mass on a daily basis. And so we stand to benefit the Chicago Premium outlets really don't have any sort of mid-tier or higher end restaurant offerings, and that's something that we will have. Remember though we don't have a hotel at our Aurora property today on the water, we will have a hotel, we'll have a spa, outdoor entertainment, lots of restaurants. It's a sort of a bigger more higher-end amenity mix version of what you saw at Joliet. So we're feeling really good about being able to feed off of the Chicago Premium Outlet Mall there as well.
Operator: We will move next to Shaun Kelley with Bank of America.
Shaun Kelley: Jay or Felicia, if you could just remind us on the kind of size or scope around the Alberta launch costs. Ontario was quite a while ago, and I can't actually remember if it was done under the sort of more of the Score model before your acquisition. But just kind of if you could help us put some parameters around if that market goes, I know the timing is a little uncertain. But if that market does open this year, what's the kind of range of J-curve investment you guys might expect to make there? That would be helpful.
Jay Snowden: Yes. We're still sort of finalizing our marketing launch plans there and taking the best of in terms of what works with our Ontario launch and eliminating the things that didn't work. So I would say it's going to be probably somewhere in that $15 million to $20 million range, but give us another quarter to fine-tune our marketing plans and get back to you. on that. Obviously, it's a really important market. And we've all learned through the years that those initial sign-ups, you get those are the most valuable customer cohorts that you end up with. And so we got to make sure that we launched successfully in Alberta like we did in Ontario and when you do, you tend to hold on to your market share much more effectively. So I would say stay tuned. But generally speaking, that's probably the range.
Shaun Kelley: Perfect. And then sort of a strategic follow-up, Jay, last quarter, you had, I think, some really defined views the broader prediction market landscape, we continue to see a lot of sequential growth in that business. I'm kind of curious on twofold. One, any identification you guys have on just your kind of core business on handle metrics as to any impact you might be seeing. But I think much more importantly, just your kind of -- as this continues to evolve, we continue to see spin-offs of more and more gaming like mechanics. Where do we sit today from where we were 3 months ago on your view? And how do you think the industry is kind of coming together here as it relates to this because we have seen, obviously, the CFTC come in with some pretty public remarks blessing these markets and continue to see a lot of people moving forward?
Jay Snowden: Yes. It's a fully loaded question on a really controversial topic. I laid out a lot of my thoughts on the last call. I would say those thoughts really haven't changed. What has continued to evolve is that it's really clear as mud today in terms of where this is going from a legal perspective. You've got regulators and attorneys general that are suing prediction markets and then you have the prediction markets that are suing regulators and trying to beat them to the punch, It's obvious to anybody who's ever been in the gambling business. And even those who aren't that sports betting is gambling. I don't know how you defend that, that it is not. And I know regulators have taken that view. It really puts the PENNs and the MGMs and the Caesars of the world in a very awkward position. We have our land-based businesses that generate tremendous cash flow. We employ thousands and thousands -- tens of thousands of team members across the country. We are big contributors to our communities. And those gaming licenses are the most valuable assets we have. We're not going to put those at risk. So when regulators say this is illegal gambling don't do it, we don't do it. But there are those that are able to do it and are doing it in other states. And so it's just -- it's very -- it's confusing. I would say, the impact overall in terms of what we're seeing today on our sports betting business we can't really tell what the impact is. We all see the handle trends. I think there's lots of variables that impact handle, prediction markets certainly are 1 of those, how much we don't know today. This really can't get in front of the U.S. Supreme Court fast enough. I mean, that would be my ultimate perspective and answer because we're just going to keep seeing this get delayed and delayed and delayed and the businesses get bigger and broader and what are they doing? We don't know the answers to some of those questions. But we're obviously not going to put our licenses at risk. We're going to stay very close to our regulators. I do think, as I said on the last call, that we as an industry of land-based casinos that aren't able, aren't allowed participate in prediction markets, we've got -- I think the best defense is offense, and we've got to figure out how to play more offense here. And I've got ideas. I've shared that with some of my counterparts. And we continue to discuss those ideas with our regulators as well as lawmakers on how we can play more offense as an industry and turn this into a win for them, meaning the states and also for the operators like us.
Unknown Executive: And I would say on the sports betting side, you're seeing a lot more competition on the marketing side going after sports betters directly. So we are seeing that versus going after investors, they're going after sports betters. So that's become pretty evident over the short term here.
Operator: We will move next to Chad Beynon with Macquarie.
Chad Beynon: I wanted to ask about the main iGaming bill that was passed, obviously, unique in terms of the partners that are there. You guys have a good database and could potentially partner with somebody. Can you talk about if this bill goes into existence in terms of operations, maybe your opportunity to benefit economically in that market?
Jay Snowden: Sure, Chad. I mean that's -- I can't answer that 1 today because we're still in discussions. I would just take a step back. What happened in Maine is mind blowing. We've been operating as a casino entity there for 2 decades. We've invested hundreds of millions of dollars. We've employed hundreds of Mainers. We're great -- we're -- as involved in the community as you're going to find any business leader. And the governor in Maine decides to hand a monopoly to a third party that's never invested dollar in the industry. I don't understand that. It doesn't make sense to me. It shouldn't happen. That said, it's being challenged legally as it should be and we'll see where it goes. If it ends up standing, then we're going to do our best to figure out a way to compete in that market. But the way that this was done was not popular publicly, and that's very evident. And I'm not sure how the governor concluded that was the best course. But it is what it is. We'll figure out a way to compete if it doesn't upstand legally.
Chad Beynon: Okay. And then separately, on the retail guide, it looks like margins are going up by a few basis points, 45% flow-through at the midpoint. You guys are going to benefit from the new properties. You talked about the returns there. But just as we think about the same-store expenses, maybe labor, utilities, et cetera, the nontax items. Do you have high confidence that there's not going to be much inflation in '26? And if you hit those revenue targets, at least at the midpoint that you can hit on that flow through?
Jay Snowden: Yes. From what we can see today, Chad, I would say, yes. We have a couple of labor negotiations in 2026 that we thought we've got a pretty good handle in terms of what the outcomes -- the range outcomes will be. Got a good handle on utility and insurance expenses, things of that nature. So it really is more of a -- think about it as a first half of the year, you're still going to feel some impact from those new supply markets that we haven't anniversaried yet or in the process of anniversarying. You've got the Aurora opening, which again, will be -- will hurt margins at least for the first quarter, maybe 2 quarters. The other 3 growth projects that we've -- we'll be ramping at Joliet and margins will be in a really good place. certainly the second half of the year, M Resorts margins are in a great place right now. Columbus will be out of the gate in a great place. So that's sort of the impact. Just think about it maybe as a first half of the year, maybe not as much upside same-store [indiscernible] at the second half of the year, you'll probably start to see more upside in terms of margin growth the same-store level.
Operator: We will move next to Jeff Stantial with Stifel.
Jeffrey Stantial: Jay, Felicia, Aaron. Maybe starting off on the Interactive business. We haven't seen a bit of an uptick in the promotional environment this quarter on the sports side of things. The private operators continue to spend quite aggressively and then some of the larger operators have come out with parley insurance and other initiatives like that. Jay or Aaron, whoever wants to take this. Is this something you're noticing an impact on retention in sports that you could actually pinpoint in the quarter? Are you fast following any of the parlay focused generosity initiatives? And if you could just help us think about, I guess, overall sensitivity and the projections to the promotional environment, specifically in sports, just given the shift in strategy, that would be helpful. .
Aaron LaBerge: Yes. This is Aaron. We are seeing that in sports, although as you know, our strategy has really shifted to focusing on iCasino in hybrid states. and in Canada. So when we're looking at OSB only states, we're taking a much more methodical look at our promo dollars and users that we're trying to retain and attract. So we have great retention at the high end of value, kind of the promo chasers and the people that are looking for gimmicks and promos in the low end tend to be churning out, which is what we expected. And then we use that money to reinvest in hybrid states where there's iCasino and sportsbook. So it is happening, but we are not necessarily competing in that market anymore as vis-a-vis Fandora Draftkings, we don't see ourselves in that realm, although we do try to find opportunities to provide value where they don't. But your observation is true. It is getting competitive, but we're kind of staying out of that right now.
Jeffrey Stantial: That's great. And then maybe staying on the Interactive business. Felicia, in the past, you've given us some frameworks for just thinking about market share across the 2 verticals, maybe without having to get into specific numbers this time, can you just talk directionally on how you think about overall market growth relative to market share expansion on the casino side that's sort of embedded in the '26 guide.
Jay Snowden: Yes. I'll grab that one. This is Jay. I would say that we expect -- we've essentially said it already. We would expect to continue to grow our market share on the iCasino side and see that our handle share will shrink on the OSB side. That's the best way to think about it. We're really focused on retention and driving profitable new users as first-time betters into the ecosystem. So [indiscernible] we're hyper focused on the states that offer both online casino and OSB. OSB only states we're likely to have a different new sign-up offer. We actually already deployed that, that differentiation between OSB only versus hybrid. And so that's where it's going to be in 2026. We feel we also have a great opportunity on reactivation, people that over the last several quarters and years have registered and signed up and made deposits, maybe taking advantage of a promotion and they're either inactive, dormant or they're not as frequent players with us or gambles with us as we would anticipate. So we're really focused on reactivation as well. And that's really, all of that just feeds into the P&L story for this year. It's going to be a much more efficient approach to the business and 1 that we think will generate a much higher return long term.
Operator: We'll take our next question from David Katz with Jefferies.
David Katz: I wanted to just talk about the land base or retail portfolio. You've made some obviously very effective investments in upgrading that. And do you have a pipeline of more of those? Should we expect to see more of those kind of upgrade projects? Clearly, the retail landscape has gotten much more competitive post-COVID.
Jay Snowden: Yes. I had mentioned earlier, David, we do have some more opportunities in states like Louisiana, Mississippi and actually 1 more of our water-based facilities in Illinois. So we're analyzing the return profiles on those projects, working with local leaders, lawmakers, community leaders and figuring out which of those may make sense for us as long as they hit our return profile that we're comfortable with, which would be that 15-plus percent cash on cash. We've got others that we believe will fit that return profile. We just have to make sure that everything else lines up and I would say stay tuned for more on that here in 2026.
David Katz: I appreciate it. If I could just follow up to that end. I don't expect you to give us a number today and in this forum, right? But is it a majority of the portfolio, right? Is it 2 to 3 properties, 3 to 5 properties? Any order of magnitude, I think, would be helpful here.
Jay Snowden: It would be certainly low single digit, less than a handful, but yes, there's -- across those 3 states I mentioned, call it, 3 or 4 projects that we're looking at right now. . Thanks, David. And Nicky, we'll take 1 more question, please.
Operator: We do have a question, comes from the line of Stephen Grambling with Morgan Stanley.
Stephen Grambling: Thank you for sneaking me in here. This should be maybe a quick one. Just -- I know that you gave a guide that implies kind of an OpEx growth rate on the property side. Just curious if you could provide any more details on some of the puts and takes that maybe underpin that.
Jay Snowden: Yes. I would say a pretty typical year of OpEx growth we're comfortable with the flow-through on the incremental revenues that we're showing there at around 45% could end up being a little bit better than that, but you're going to have typical growth in your labor number primarily annual merit increases. Like I said, we have a couple of labor negotiations that we're working through. So primarily there, we don't anticipate strategically any changes in our marketing reinvestment overall. You're going to have some natural growth in areas like insurance, sometimes utilities, but that would be driving the lion's share of it, Stephen. All right. Thanks, everyone, for joining. We look forward to catching up with you again next quarter.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.